Mark Anderson - Senior Director, Treasury and IR:
John Larson - Interim President and CEO:
Laura Coffey - CEO :
Operator: Good morning, and welcome to the Solo Brands First Quarter 2025 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event has been recorded. I would now like to turn the conference over to Mark Anderson, Senior Director, Treasury and Investor Relations. Please go ahead.
Mark Anderson: Thank you, and good morning, everyone. We appreciate you joining us for the Solo Brands conference call to review the first quarter 2025 results. Joining me on the call today are the company's Interim President and Chief Executive Officer, John Larson, and Chief Financial Officer, Laura Coffey. This call is being webcast and can be accessed through the Investors portion of our website at investors.solobrands.com. Today's conference call will be recorded. Please be advised that any time-sensitive information may no longer be accurate as of any replay or transcript reading date. I would also like to remind you that the statements in today's discussion that are not historical facts, including statements about expectations, future events, financial performance, debt restructuring and liquidity, negotiations with lenders, turnaround efforts, strategic transformation goals and future growth are forward-looking statements and are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements, by their nature, are uncertain and outside of the company's control. Actual results may differ materially from those expressed or implied. Please refer to today's earnings press release for our disclosures on forward-looking statements. These factors and other risks and uncertainties are described in detail in the company's filings with the Securities and Exchange Commission. Solo Brands assumes no obligation to publicly update or revise any forward-looking statements. Management will refer to non-GAAP measures and reconciliations to the nearest GAAP measures are included at the end of our earnings release. Finally, the earnings release has been furnished to the SEC on Form 8-K. Now I'd like to turn the call over to John Larson.
John Larson: Good morning, and thank you all for joining us in reviewing Solo Brand's first quarter results. Today, I'll start by addressing the NYSE trading suspension and briefly comment on our debt restructuring progress. Then Laura will report on first quarter results and provide an update on our tariff mitigation plans. Lastly, I will return to discuss our profit-focused transformation plan. First, concerning the NYSE suspension announcement last month, we recently appealed the NYSE's determination and have a plan to regain compliance. If we are successful, we expect that the NYSE trading suspension on our common stock will be listed. Trading of our common stock is currently conducted through the OTC markets under the ticker symbol DTCB. We believe that the planned actions to improve our results will position us to resume our NYSE listing. We are also working closely with the lenders under our credit agreement, along with our advisers to address Solo Brands debt structure. As part of our restructuring plan, we have developed an operational financial plan for both near and long term that are expected to drive profitability and cash flow improvements. We will update you on some of these initiatives today. As we navigate the transition, I am encouraged by our progress and efforts to leverage our entrepreneurial culture at Solo Brands for building and scaling our outdoor lifestyle portfolio. My optimism about the business is growing as we execute initiatives and begin to achieve milestones in our multiyear strategic plan. Turning to first quarter results. We are pleased to report that Chubby segment results were strong. First quarter sales of our Chubbies brand grew 43.9% and with the segment EBITDA margin expanding to 26.5% of sales. Chubbies has built a close knit community of customer advocates and loyal fans who love the products, customer service and customer experience that this brand delivers. As expected, sales in the Solo Stove segment declined primarily in response to our elimination of extensive discounting and promotion in our DTC channel. I will discuss this more in a moment. Even after implementing these changes, our consolidated bottom line results in Q1 for Solo Brands exceeded last year for both February and March. This gives us confidence that our profitability focus is beginning to yield results. Our broader vision is to fuel our brands by delivering new innovative products and a differentiated experience to further transform onetime customers into lifelong customers. The Board and management are aligned and the team is working diligently to improve the near-term and long-term business trajectory. After Laura walks through the detailed financial analysis, I will return to discuss key strategic initiatives. Laura?
Laura Coffey: Thank you, John, and good morning, everyone. Before I walk through the first quarter results, I want to cover trade policy developments, including tariff update. Tariffs are having a significant impact on our industry and our business. While tariffs did not impact our first quarter results, we have taken proactive steps to offset incremental costs that are expected to affect us starting in the second quarter. First, we are diversifying our manufacturing footprint where possible and reducing our reliance on China-sourced products starting with our June 1 production. This includes expanding to suppliers in lower tariff countries where feasible and we are beginning to explore nearshore options and U.S. production alternatives. We are also taking some pricing actions that John will discuss further in a moment. Finally, as we mentioned during our last earnings call, we have identified and are starting to implement significant performance improvements, efficiencies and cost reduction initiatives to improve financial performance and mitigate tariffs. The first quarter's total net sales were $77.3 million, down 9.5% from the prior year. As John mentioned, Chubbies segment sales grew by 43.9%, contributing to an incremental $13 million in sales this quarter through a combination of expansion at retail and an increase in direct-to-consumer or DTC channel sales. The Solo Stove segment sales were down $25.3 million, which more than offset sales increases at Chubbies. Solo Stove segment sales declined from prior year as expected, based on planned realignment with retail partners to leverage a coordinated promotional approach. A lack of new product launches also impact Solo Stove's results, which John will discuss as well as our strategic partner initiatives to address channel pricing and our decision to eliminate low-profit relationships at retail. During the first quarter, we generated adjusted gross profit of $42.8 million or 55.4% of net sales compared to 59.5% for the prior year quarter. Gross margin pressure was primarily due to channel mix shift between retail and DTC sales that impacted margins in the quarter compared to the prior year. Selling, general and administrative expenses were $39 million in the quarter, down $9.4 million compared to last year's first quarter. The execution of our initiatives decreased SG&A, which primarily consisted of lower advertising and marketing spend as well as lower variable costs associated with DTC sales. We also recorded $5.8 million in onetime restructuring, contract termination and impairment charges in the quarter as we implemented strategic initiatives of resizing our operating structure. Based on our strategic work, our first quarter GAAP net loss was significantly reduced to $12.2 million, down over 65% from the fourth quarter. The adjusted net loss was $4.7 million, excluding after-tax restructuring and nonrecurring charges. Adjusted EBITDA for the quarter was $3.5 million, with a margin of 4.5% of net sales compared to last year's first quarter of $4.3 million or 5% of net sales. Please refer to our earnings release for reconciliation tables to the most comparable GAAP measure. Turning to the company's financial position and balance sheet. We continue to manage working capital closely and ended the quarter with inventories of $103.1 million, down from $108.6 million at fiscal year-end 2024. As of March 31, cash and cash equivalents were $206 million and total outstanding debt classified as current was $427.9 million. As we discussed last quarter, we expect to report noncompliance with certain financial covenants under the credit agreement that governs our term loan and revolver. And as such, we continue to report a going concern disclaimer in our Form 10-Q filed today. We continue to follow a conservative capital allocation strategy, which includes careful cash management to execute our transformation plan and we are taking actions to create stability in 2025 with no planned acquisitions. With that, I would like to turn it back to John.
John Larson: Thank you, Laura. Early in the first quarter, search teams were launched to help execute a disciplined transformation of our company. These teams were responsible for identifying opportunities and mitigating risks to help ensure the delivery of our financial objectives. The first team was focused on organizational design. We told you last quarter about our headcount reductions in January, and we made further cuts in April. We also eliminated open positions, adjusted our bonus structure and suspended our 401(k) match until further notice. These are hard, but necessary decisions. We have also continued to work on rightsizing our facilities and distribution footprint. Our second team is focused on marketing effectiveness. We have eliminated several large legacy marketing programs from last year. We are also focused on a return on ad spend as a critical metric. Our marketing team, led by our CMO, Liz Vanzura is incorporating a contribution margin analysis model to inform our return on ad spend targets. In addition, we are actively eliminating unprofitable sponsorships. As you can tell, we are working to directly tie marketing investments to profit generation and will adjust as appropriate. Our third team was focused on pricing strategies. We are aware that conflict arose in the Solo Stove retail channel due to our heavy promotional approach in our DTC channel last year. We have now revised our promotional calendar so that our DTC channel and retail partners are fully aligned. Although this significantly impacted Solo Stove direct-to-consumer results, this is a necessary change to align our direct-to-consumer strategy with our key retail partners. In addition, we are implementing a strategic repricing of our portfolio where warranted and terminating low-profit retail programs. Our fourth team was focused on product innovation. We believe that product innovation plays a critical role in our strategy. While Chubbies and water sports have continued to innovate with some great new products, we are excited to share that we have stepped up the innovation in our Solo Stove division with five new products launching this year, beginning with the introduction of our new Windchill 47 cooler hitting the markets this week. We anticipate these new product launches to ramp up this summer with more visible financial impacts expected in Q4. With these premium brand launches, we will be intentionally less promotional. We also plan to bring our best strategic retail partners into the newness by way of some exceptional exclusive products in the future. We are tracking and reviewing the company's aggressive profit focused initiatives weekly and recognize that measuring our progress is critically important. Also, we expect that establishing consistent repeatable processes will enhance and accelerate operational efficiencies today and in the future. We will amplify new product launches with thoughtful marketing spend to generate sustainable returns. This is a metrics-based mindset that we anticipate will drive improving profitability at Solo Brands. We are still in the early innings, but our vision is clear. We have adjusted our business approach and culture to deliver improved bottom line results. As we execute our measured value-accretive initiatives, we expect to stabilize our performance in the second half of the year. Since we are working with our lenders on addressing the company's debt structure, we know that a Q&A session would require us to say, no comment, a lot. So we are holding off answering investor questions until we can speak about the details. Thank you for continuing to follow our company and taking this journey with us. We look forward to providing operational and financial updates on the company as we progress. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.
Q -: